Operator: Good day, and welcome to the First Interstate BancSystem Third Quarter 2020 Earnings Conference Call. [Operator Instructions] Please also note today's event is being recorded. I would now like to turn the conference over to Lisa Slyter-Bray. Please go ahead, ma'am. 
Lisa Slyter-Bray: Thanks, Rocco. Good morning. Thank you for joining us for our third quarter earnings conference call. As we begin, please note that the information provided during this call will contain forward-looking statements. Actual results or outcomes may differ materially from those expressed by those statements. I'd like to direct all listeners to read the cautionary note regarding forward-looking statements and factors that could affect future results contained in our most recent annual report on Form 10-K filed with the SEC and in our earnings release as well as the risk factors identified in the annual report and our more recent periodic reports filed with the SEC. Relevant factors that could cause actual results to differ materially from any forward-looking statements are included in the earnings release and in our SEC filings. The company does not undertake to update any forward-looking statements made today.  
 A copy of our earnings release, which contains non-GAAP financial measures, is available on our website at fibk.com. Information regarding our use of the non-GAAP financial measures may be found in the body of the earnings release, and a reconciliation to their most directly comparable GAAP financial measures is included at the end of the earnings release for your reference.  
 Joining us from management this morning are Kevin Riley, our Chief Executive Officer; and Marcy Mutch, our Chief Financial Officer, along with other members of our management team. At this time, I'll turn the call over to Kevin Riley. Kevin? 
Kevin Riley: Thanks, Lisa. Good morning, and thanks, again, to all of you for joining us on the call today. Again, this quarter, along with our earnings release, we have published an updated investor presentation that has some additional disclosures that we believe will be helpful. The presentation can be accessed on our Investor Relation website. If you have not downloaded a copy yet, I would encourage you to do so.  
 I'm going to start today by providing an overview of the major highlights of the quarter, and then I'm going to turn the call over to Marcy to provide a little bit more detail on our financials.  
 We continue to see encouraging signs of economic strength throughout our markets, which helped us to deliver a strong quarter, highlighted by quality balance sheet growth, significant contributions from many of our sources of noninterest income and generally positive trends in asset quality.  
 For the quarter, we generated net income of $48.3 million or $0.76 per share and pretax pre-provision income of $68.2 million. Unemployment rates within our footprint continue to show notable improvements in the quarter, with unemployment levels in line with or better than national figures. In the West division, Oregon witnessed the largest recovery with unemployment dropping 3.6% to 8% since June. While Idaho ticked up, it remains low relative to the nation at 6.1%.  
 In the market division, South Dakota saw the greatest improvement in labor trends with unemployment rate now at 4.1%, which is the second lowest in the nation. In all, jobs appear to be coming back and we're optimistic about our footprint.  
 Looking at the 7 main state and national parks in our footprint. Once again, through June, statistics are showing strong year-over-year momentum in tourism with the one exception of Glacier National Park. This aligns with all the anecdotal information we are hearing from our clients and our communities. We are seeing these positive economic trends flow through our financial performance of our clients, many of which are having record years. This strong performance is coming from a wide variety of businesses: auto dealers, auto repair shops, architects, contractors, landscapers, small manufacturers, just to name a few. 
 As a result, we continue to see very strong inflows of commercial deposits. During the third quarter, we had an annualized deposit growth of 16.3% with most of the growth coming in noninterest-bearing deposits, which were up $372 million in the quarter. Also encouraging was that 9% of the demand deposits and almost 7% of the savings growth came from new clients. 
 These positive economic trends are also reflected in the health of asset quality. We had declines in both nonperforming loans and nonperforming assets. As of October 16, we had only $77.1 million of loans in deferral status and $6.1 million of residential mortgages and forbearance. Together, this is less than 1% of our outstanding loan balances. These positive trends in asset quality, along with the significant reserve build we had earlier in the year, resulted in a modest provision requirement for this quarter.  
 We also had solid quarter of loan growth considering the macro environment. Our total loans increased $120 million or 4.7% annualized. We continue to be very conservative in our underwriting, but one thing we have noticed is that the current environment is a little bit less competitive. Many of the banks in our market appear to be in a defensive mode right now and are having to devote most of their focus to credit issues. So we are benefiting from the strong position we have built, and we continue to pursue quality lending opportunities without having to deal as often with irrational competitors.  
 In terms of our market, we saw the strongest loan growth coming in our West division, which was up more than 3% compared to the end of the prior quarter. Mortgage banking continues to be a strong contributor, and our revenues were up 38% over the prior year. $158 million of our closed loans or 27% of the loans we funded were originated in our online application process. During the summer months, we saw more demand from purchasing construction loans, which accounted for almost 50% of our production in the third quarter. So it's just that refinancing boom driving the increase in production. The increase in purchase and construction loans reflects the trends we have talked about previously, where we continue to see a steady inflow of people relocating to Montana and Idaho. We should be in a good position to continue to benefit from this trend for years to come.  
 While our focus this year has prudently been on managing through the pandemic, the performance and trends we have seen reinforce the vision we had for our franchise when we entered the faster-growing division -- Western division markets: Idaho, Oregon and Washington. Our market division, consisting of our historical markets of Montana, South Dakota and Wyoming continued to provide stable, low-cost deposit base, while our West division provides us the opportunity to deploy that liquidity into areas where loan demand is higher. The combination of these markets create a platform that is conducive to generating strong returns for our shareholders while maintaining a fortress balance sheet from the perspective of capital, liquidity, asset quality and reserves.  
 Given our strong financial performance and low risk profile, we continue to have the ability to return a significant amount of capital to our shareholders. During the third quarter, we have repurchased 1.4 million shares of our common stock, and our Board of Directors just approved a 12% increase in our quarterly dividend. We are very pleased that we are able to increase the amount of capital that we return to our shareholders while still being well positioned to manage through the duration of this pandemic. 
 With that, I'd like to turn the call over to Marcy so she could provide a little more detail around the financial numbers. Marcy? 
Marcy Mutch: Thanks, Kevin, and good morning, everyone. As I walk through our financial results, unless otherwise noted, all of the prior period comparisons will be with the second quarter of 2020, and I'll begin with our income statement.  
 Holding true to our expectations, we saw an increase in our net interest income for the quarter, but with the growth in the balance sheet, there was additional pressure on our net interest margin. Our net interest income increased by $500,000 from the prior quarter due to higher average balances of interest-earning assets. A portion of the higher average balances was attributable to a full quarter of the PPP loans on our balance sheet, which contributed $2 million more in interest income in the third quarter than they did in the prior quarter. On a reported basis, our net interest margin decreased 23 basis points to 3.29% in the third quarter, which continues to be impacted by the strong inflows of deposits we've seen this year. This has increased our excess liquidity and the percentage of earning assets invested in the securities portfolio.  
 Breaking down the major components of the change in our net interest margin. 18 basis points was attributable to the decline in earning asset yields, which was partially offset by a 2 basis point decline in deposit costs, and 7 basis points of the decline was related to the dilutive effect of our growth in deposits being deployed in lower-yielding cash and investment securities. Excluding the impact of interest recoveries and loan accretion, our operating net interest margin declined 24 basis points to 3.2%. Although we don't have much more room to bring down rates on our interest-bearing deposits, we continue to benefit from declines in our higher-priced CD balances and the positive mix shift resulting from the strong inflows of noninterest-bearing deposits. This should help us to continue to bring down our cost of funds and partially offset the declines we're seeing in yields on earning assets. With modest levels of loan growth, we have a focus on building the investment portfolio to be a larger percentage of the balance sheet, but depending on the pace of growth in our deposits, we may continue to see some margin pressure.  
 Our noninterest income increased $5 million quarter-over-quarter to $44.7 million. Mortgage banking revenue was comparable to the prior quarter, while we had increases in all of our other major fee-generating areas. Payment services and service charges on deposit accounts increased as we saw more transactions and economic activity in our markets, while wealth management revenues increased largely as a result of the market recovery, coupled with strong client retention, strong investment results from our team and growth in our retirement plan relationships. We also had a $1.9 million increase in swap fees that contributed to the higher noninterest income this quarter.  
 Our pipeline for both refinance and purchase residential mortgage loans remains strong. We should have another good quarter of mortgage banking revenue, although not quite at the level we've seen over the past 2 quarters as we anticipate the seasonally slower activity in the winter months.  
 Moving to noninterest expense. We had an increase of $3.9 million from the prior quarter. This was primarily due to higher salaries and wages, largely resulting from 3 items. First, we had a lower level of deferred loan costs, primarily due to the PPP loans that were originated last quarter. Second, we had a onetime $1.6 million adjustment to our mortgage commission. And third, we had a onetime $0.6 million adjustment related to an employment agreement. Excluding these items, our expenses were well controlled, and we still expect our run rate to be in the $96 million to $97 million range going forward.  
 Moving to the balance sheet. Our total loans increased $120 million from the end of the prior quarter with the growth coming from our commercial real estate, commercial construction, residential real estate and indirect consumer portfolios. As of September 30, we had not been funded for any PPP loan forgiveness and still had $1.2 billion of PPP loans remaining on our balance sheet. As you'll see in our investor deck, we've submitted forgiveness applications for about 1,400 loans for a total principal balance of $219 million. Since the end of the quarter, we've received funding for 119 loans for a total of $3.6 million.  
 Our total deposits increased $542 million from the end of the prior quarter with most of the growth coming in noninterest-bearing and interest-bearing demand deposits. This has resulted in continued improvement in our mix of deposits with demand deposits now comprising 62% of our total deposits.  
 Looking at asset quality. We saw decreases in most problem asset categories. Our nonaccrual loans declined $5.1 million, while our nonperforming assets declined $4 million. We did see an increase in special mention loans, primarily due to downgrades in the hospitality industry as we continue to keep a close watch on that portfolio.  
 Our credit losses continue to be very manageable with $4.6 million of net charge-offs representing just 18 basis points of average loans in the quarter. We had special reserves of $2 million allocated against these credits. We recorded a provision for credit losses of $5.2 million, which covered net charge-offs, a $1.1 million increase to the unfunded loan reserve and reflects a small decline in allowance for credit losses. With the economic forecast stabilizing this quarter, this component of our allowance methodology did not result in a material impact to the provision expense. At the end of the third quarter, our allowance for credit losses was 1.43% of total loans, including PPP loans or 1.63% when PPP loans are excluded. 
 And with that, I'll turn it back to Kevin. 
Kevin Riley: Thanks, Marcy. Nice job. As we head into the end of the year, we believe we are in a good position to continue delivering consistent, strong financial results. Most of the deposit trends we have experienced over the past few quarters should continue. We expect continued balance sheet growth, excluding the impact of any PPP runoff, another good quarter of mortgage banking, well-controlled expenses and a relatively stable level of provision expense. 
 From an operational perspective, we continue to make progress with our efforts to modernize the bank and get more leverage from our core system upgrade we made last year that will allow us to add more features and capabilities. We expect to introduce a new digital small business banking platform in the coming months, which is fully automated -- which is a fully automated process from application through approval and funding. This new platform should help us improve our ability to better service our existing clients and add small business relationships.  
 In 2021, we will also add a new loan origination system designed for the more complex commercial loans that will strengthen our ability to understand our loan pipeline, track the performance of borrowers and share information between departments and which would enhance our efficiencies and productivity.  
 At the branch level, we continue to make improvements to our operations to be more efficient. We see a lot of banks making announcements about significant branch consolidation, but for us, this has been an ongoing process for a number of years. We have continually been moving branches out of older, larger buildings in less desirable locations into smaller, more efficient, more modern facilities. And in 2021, we will have fully implemented our new teller platform that will help us to be more efficient in servicing our clients. Just as we have modernized the infrastructure of the bank to support the growth into a much larger institution, we've also been modernizing our branch network to enhance efficiency and ensure that we are well positioned to offer our clients a superior in-person banking experience.  
 I am very proud of the way our team has responded to the challenges this year and has demonstrated to our markets and our customers that First Interstate is a bank that they can count on in good times and in bad. It's an opportunity to strengthen our existing relationships and form new ones that will help us continue to grow our franchise well into the future. 
 So with that, I would like to open the call up for questions. 
Operator: [Operator Instructions] Today's first question comes from Jeff Rulis with D.A. Davidson. 
Jeff Rulis: I guess first question is just want to get your sense on the housing market in Montana, and lots of indications of out-of-state buyers kind of swooping in sight unseen on properties. I imagine sort of the limited supply offers some confidence of continued support, but I just wanted to get your sense for the level of where you think housing is and where it could go sort of the balance into '21. 
Kevin Riley: Jeff, I wish I had a crystal ball that could tell me exactly what's going on, but all we're seeing right now is that housing -- we have a kind of a shortage of housing in most of our markets as people are moving into, I think, more rural markets or smaller towns. So I don't know exactly where it's going to go. It really depends how this pandemic really plays out and what people do from working from home because people are feeling that they can work for Montana as well as they can work from home in Manhattan. 
Marcy Mutch: But anecdotally, I think the builders that we know are all very busy and scheduled out into next year. Realtors are busy still. I mean it's -- it doesn't look like it's loading out. 
Kevin Riley: No. And Jeff, I would say in Rapid City, South Dakota, they're saying that they're going to be short 8,000 houses over the next 2 years because a new bomber unit got put to that Air Force base as well as some environmental companies hiring a bunch of people. So they're projecting to be 8,000 houses short. 
Jeff Rulis: Yes, a good backdrop. I think I saw a stat of, I think, 9,000 new drivers license applications in Montana through the summer months alone. So I guess you're getting not only part-time buyers but some current or permanent residents. 
 Maybe jumping to the expense... 
Marcy Mutch: Not only... 
Kevin Riley: Go ahead, Jeff. 
Jeff Rulis: Sorry. The expense side, Marcy, you got your comments on what you think we revert to on core, had some one-timers in there. Just trying to think about the -- if it's at $96 million to $97 million quarterly run rate, how much is variable? 
 If we think the mortgage book slows down a little bit and particularly into '21 maybe not by a ton and certainly not maybe by MBA forecast, but should we take a leg back? Does that alter the -- that run rate expectation to the downside? And any other -- I think you talked about some investments, Kevin, on the loan origination program, but where can you curb costs? I guess, overall, expense expectation run rate for '21 would be helpful. 
Marcy Mutch: Yes. We're right in the middle, Jeff, of our budget process. So I'll be able to give a little bit more clarity next quarter. But I -- we've been pretty good at managing our expenses this year, so I don't anticipate expenses coming down much below that rate going forward. Again, I'll give you a little bit more color next quarter, but I wouldn't put that in the forecast. 
Kevin Riley: But I would say that -- so I did talk about some technology investment or changes. But really, as we have done in the past, as we've improved our infrastructure with technology, it really hasn't been an incremental increase in expense. We get rid of a number of systems that go on to a new system. So it's kind of a push as we -- actually when we upgrade systems here. So we haven't been really -- being burdened by real increase in technology expense. We just had benefited getting off a bunch of systems that cost us a lot of money and moving on to a more efficient system. 
Operator: Our next question today comes from Matthew Clark at Piper Sandler. 
Matthew Clark: We started on the deposit growth this quarter very strong. Wondering where you're seeing that growth coming from. How much of it's existing customers? How much of it is new? And where throughout your footprint might you be seeing it? 
Kevin Riley: Well, it's actually pretty strong. And as we mentioned in the remarks, we do have some new customers both on the commercial and the consumer side. But it's -- seasonally, our deposits grow in the third and fourth quarter. So it really plays into the seasonality that we normally see, but we're getting more than we normally see it seasonally. So it's -- we believe it's going to continue going through the fourth quarter again. But then in the first quarter, as always, seasonally, we see it come down a little bit. So we think we're going to continue to follow that kind of trend and it's pretty broad-based. 
Marcy Mutch: Yes, it's across the footprint, Matt. And I think actually, Wyoming had our strongest deposit growth this quarter. 
Matthew Clark: Okay. Great. And then just on the loan growth, also kind of solid and a little bit better, I think, than it's been running the last couple of years. I think you've talked about low to mid-single digits historically. But I guess how much is that pipeline up year-over-year? And do you think low single digits is no longer -- do you think you can do better than low single digits at this stage given what you're seeing? 
Kevin Riley: No one had predicted I'm going to grow it any kind of high double digits or something. But I think the thing is, is we're seeing some positive trends with regards to loan growth. So we think that we -- even this time, we're -- we feel mid-single digits or lower single digits is probably feeling good to be pleased for the remainder of this year. 
Matthew Clark: Okay. And just the uptick in classified. I know it's down year-over-year but -- and only up, I think, 7 basis points linked quarter. But is that kind of related to some deferrals that have just migrated? Or is there anything specific that you could speak to? 
Kevin Riley: Really, it's -- it has some hospitality loans go in there and we're being ultra conservative when we're looking at these things. We're going to go through a real deep dive exam soon and we're going to really look at the hospitality, but we're just being conservative. So we're not overly concerned at this juncture because it's -- they've moved in there, but we're closely monitoring that industry. 
Matthew Clark: Okay. And then just lastly, on the capital return, a lot more proactive of late. Does that kind of suggest that M&A is still fairly quiet? How are those conversations trended of late? 
Kevin Riley: We're staying close to one another, and we're talking to people, but I would say that everybody is kind of on the sidelines at this juncture and time will tell what happens. I think everybody is trying to see if valuations will come back and also how people are going to survive through their asset quality as this pandemic persists. So I think everybody's just kind of waiting -- playing a wait-and-see game, but we're still staying close to the people we like. 
Operator: Our next question today comes from Jared Shaw in Wells Fargo. 
Jared Shaw: I guess maybe starting with sort of, broadly, COVID. It seemed that your markets had really avoided any of the big issues for a long time now. It seems like some of the numbers are increasing. Are we still -- is that still relatively low impact? Or do you think that as we go into winter that an increase in COVID could actually put any pressure on the loan growth outlook at this point? 
Kevin Riley: Jared, I wish we had a crystal ball. It could, but I would tell you I don't think anybody has a stomach to shut down the economy again. I think that they're going to deal with it. And I know the cases are increasing out here, but I don't know what the outcome is going to be of this pandemic. But right now, it appears that things are going to continue just moving forward and operating as though they're just dealing with the pandemic. 
Jared Shaw: Okay. You sounded pretty optimistic in terms of the current allowance level given the broader credit backdrop. If we start seeing credit losses increase, then do you think that the existing allowance is sufficient for that, that you'd be able to just cover those losses out of the existing allowance? Or should we expect that any charge-offs in the future are really still provided and we keep the allowance level flat, assuming no change in the broader economic model? 
Kevin Riley: Yes. With no broader changes in what we see in our markets, the allowance is going to be adequate. Right now we don't see any increase in charge-offs in the future. This quarter, we had a little bit of increase, but it was really 2 credits. One was totally expected and we had reserved for it specifically. And actually, we had a larger specific reserve on it than when we actually took us a charge-off and another one was a surprise. Somebody we got was caught -- doing creating or doing fraud and got thrown pretty much in jail. So we ended up with an aircraft that we had to take a loss on, but it was just -- that was just a surprise, but nothing that is out there that is really concerning that's -- that we see. 
Jared Shaw: Okay. And then just finally for me, with the -- can you talk about any success you've had cross-selling those new PPP clients that may have come from other banks? Is it too early to see results there? Or are you actually turning some of those into full-service customers? 
Marcy Mutch: Jared, we have seen an inflow on the deposit side. I don't have the info. They were -- they are trying to get that for me. I don't have the inflow on the loan side, but we are seeing some positive client generation as a result of the PPP process. 
Operator: [Operator Instructions] Today's next question comes from Jackie Bohlen with KBW. 
Jacquelynne Chimera: So just thinking about the size of the balance sheet and understanding that it's obviously heavily dependent on customer liquidity, so that's kind of where my questions are coming from. What is the tipping point? I think you mentioned in your prepared remarks that businesses are doing really well and it's driving strong deposits. What's the tipping point where they start reinvesting some of those deposits into their businesses? And so you get the growth, but maybe a little bit of balanced contraction. 
Kevin Riley: Yes. That's an interesting question. I think everybody's kind of playing it safe right now. I think maybe when a vaccine comes out and the buyer slows down a little bit, people will reassess what they're going to do with their business. But I think a lot of people are really being conservative right now and just stacks. It's like they're just storing up their acorns for a harsh winter, but I don't know. It's an interesting thing because we don't see a lot of companies going out and doing big, massive additions or something at this juncture, which I think is the prudent thing anyway. 
Jacquelynne Chimera: Yes, yes. Okay. No, that's good to know. And do you know to the extent if ski resorts are planning to open this winter? 
Kevin Riley: Yes. Actually, we've received some anecdotal information, and it's that you have to do like a reservation to get the thing, and it seems like some of the ski resorts think they're going to have a better year this year than they had last year with the number of people. It's kind of interesting because the lodges are going to be closer, pretty much saying that your car is going to be your lodge. But they're really putting in together some ways to keep the mountains open, and right now they're anticipating they're going to have a great year. 
Marcy Mutch: And if our snowfalls -- recent snowfall is any indication, they are going to have a good year. 
Kevin Riley: Yes. We already have a ton of snow out here. 
Jacquelynne Chimera: You already got snow. Wow. Okay. So it sounds like the tourism that you saw in the summertime could continue into the winter. And my thought is that just with your markets being well situated in terms of the virus, there's probably going to be an influx of people and there's a place for them to go and to hang out in a socially distant way. Is that fair? 
Kevin Riley: That's fair to say. That's what it appears to be looking like. Time will tell as we move through the months. 
Jacquelynne Chimera: Yes, yes. No, obviously, lots of unknown. And then just one last one for me. Just as you're getting all these new customers in terms of deposits and maybe some loan opportunities in the future, are you getting any new customers in the wealth management area? 
Marcy Mutch: We haven't seen new clients at this point, a substantial number of new clients, but it really is an area that we're focused on and so I would expect to going forward. 
Operator: Ladies and gentlemen, this concludes the question-and-answer session. I'd like to turn the conference back over to the management team for any final remarks. 
Kevin Riley: Thank you for your questions today, guys. As always, we welcome calls from our investors and analysts and you can please reach out to us if you have any follow-up questions. Thanks for tuning in today. Goodbye. 
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.